Philip Carlson: Good morning, and welcome to Ispire Technology Inc. Earnings Conference Call for the 2026. I'll now hand the call over to Philip Carlson, from KCSA Strategic Communications. Please go ahead, sir.
Michael Wang: Hello, everyone, and welcome to Ispire Technology Inc. earnings conference call for the 2026 ended 12/31/2025. At this time, I would like to inform you that the conference call is being recorded and that all participants are in a listen-only mode. Following the company's prepared remarks, we'll be holding a question and answer session. With us today are Mr. Michael Wang, the company's Co-Chief Executive Officer, and Mr. Jie Yu, the company's Chief Financial Officer. Michael Wang will start by discussing Ispire Technology Inc.'s second fiscal quarter financial results and recent corporate highlights. Jie Yu will then discuss the company's financial results for the 2026 in more detail. Before we begin, I would like to remind you that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in its announcement are forward-looking statements. Forward-looking statements are based on estimates and assumptions made by the company in terms of its experience and its perception of historical trends, current conditions, and expected future developments, as well as other factors that the company believes are relevant. These forward-looking statements involve known and unknown uncertainties, and many factors could cause the company's actual results or performance to differ materially from those expressed or implied by the forward-looking statements. Further information regarding this and other risk factors are included in the company's filings with the SEC. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectation except as may be required by law. I will now hand the call over to Michael Wang. Michael Wang, please go ahead.
Michael Wang: Thank you, Philip. And welcome to all of you joining us today. I'm pleased to share our financial results for the 2026 and the recent corporate highlights. This quarter represented an inflection point for Ispire Technology Inc. after our year-long cost-cutting and customer quality rationalization efforts, and we believe future quarters will see top-line growth, consistent cash flow, and bottom-line improvement. We are confident we have laid a solid foundation for future success. During the 2026, we continue to fortify our financial position and strengthen our cash flow. Since late fiscal 2025, we have consolidated our customer base to prioritize high-quality clients. This aligned with our strategic focus on the higher value nicotine sector and the shift away from the cannabis sector and from slower-paying clients. We have seen this translate to promising results across key measures, including improved accounts receivable. While our revenue declined in the second fiscal quarter, this was an expected outcome due to our deliberate move towards higher quality nicotine sector customers and away from lower value clients who have difficulties meeting payment timelines. Several key metrics, including accounts receivable, operating expenses, and net loss, indicate how our efforts to solidify our financial stability are beginning to deliver improvements in these areas. In addition, there were headwinds for the nicotine sector internationally, with the e-cigarette volume declining with the pressure from Chinese manufacturers making an impact. It is worth noting that with China's cost base going up, this will benefit Malaysian producers, aligning with Ispire Technology Inc.'s strategic pivot to Malaysia as e-cigarettes are no longer a preferred industry in China. For the 2026, our net accounts receivable improved to $37.9 million, down from $47 million at the end of fiscal 2025. Other measures demonstrating this progress include average payment terms and the days sales outstanding, which have all improved. In particular, cash collected versus revenue for calendar year 2025 was 116% versus 67% for calendar year 2024. Also, our average payment terms were shortened, and the average days sales outstanding improved by eight days, comparing the 2026 to the 2025. We were also able to reduce our net loss to $6.6 million from $8 million in the 2025. And for the six months ending 12/31/2025, net loss was reduced by $3.7 million compared to the same period year over year. One important item I would also like to highlight is that from April 2025, towards the end of calendar 2025, we burned only $1 million in operating cash as we focused on our cost reduction and customer quality rationalization efforts. This is a significant measure, and combined with other financial metrics, shows that our stringent cost management and focus on financial discipline have yielded positive results. And these are trends that we expect to continue through fiscal 2026. The Ispire Technology Inc. team progressed several significant projects over the second fiscal quarter, mostly related to our iTech joint venture Gmesh technology, and building out our Malaysian facility. We continue to see increased traction worldwide for our groundbreaking age-gating technology joint venture with iQTEP. In the US, in particular, interest from and discussions with several major tobacco players have intensified over the last three months. After the FDA indicated that age-gating technology is the only way to unlock the legal flavor of the e-cigarette market. As we all know, the US nicotine vaping market is mainly dominated by illicit products. In other words, products that have not been authorized by the FDA. By various estimates, the US e-cigarette retail market is nearly $100 billion in size and more than 90% of it is illicit in nature. Consumers want flavored e-cigarettes, but the legal market does not have FDA-approved flavored e-cigarettes. As such, consumers can only purchase flavored products from the illicit market, potentially risking their health and life. We strongly support the FDA's initiatives to use age-gating technology to unlock the flavored market with legally approved products, to not only offer consumers the flavor that they want, but also to protect consumers from using dangerous products from the illicit market that are currently being sold across the US illegally. While there are several technology solutions out there, our technology stands out for its reliability and low-friction nature. Our revolutionary technology uses a blockchain-based age verification chip and requires timely authentication at the point of use in order for the user to power it up. This contrasts with existing systems that just rely on single verification only at the point of purchase and therefore ensures that only adults can vape, not just purchase these products. We have been working with regulators globally across Europe, Southeast Asia, and the Middle East to institute age-gating technology as a compulsory standard for the industry, and we have made material progress in getting these measures mandated in several countries across the world. Also, recently, we were invited to participate in the FDA's small manufacturers roundtable session, with Steve Casbella, our Chief Legal Officer and ICTECH board member, representing the company on the panel taking place next week. While we welcome the US federal government's stringent enforcement mandate of the illicit trade effects, we want to emphasize that this can only be effective when combined with technology-based solutions that are able to secure devices before misuse occurs. This is where we are seeing macroeconomic tailwinds in our favor relating to the US FDA stance on flavored products and age-gating technology. The FDA's explicit position is that you must have age-gating technology if you want flavored products approved. Our joint venture, iQTEC, as most of you already know, has the leading and the most low-friction technology in that space, and we look forward to capitalizing on this opportunity in due time. Ispire Technology Inc. and iQTEC's first-ever premarket tobacco product application or PMTA with the FDA last year shows our commitment to advancing safety and compliance for consumers. It's no surprise that our age-gating technology is receiving a lot of attention from the big tobacco players globally. Furthermore, we look forward to announcing a significant development deal around our age-gating technology with a leading global nicotine company in the coming weeks. Another area where Ispire Technology Inc. is leading innovation is with our Gmesh technology. Gmesh vaping hardware is built with superconductive glass, which unlike traditional ceramic or cotton core, provides higher purity which enhances user safety. As we mentioned on our last earnings call, Gmesh is garnering attention from several medium and large-sized nicotine companies who are interested in the opportunity that technology presents for their next-generation vaping devices. We are currently involved in discussions about these opportunities. We'll share an update on this in the coming month for a potential licensing and/or partnership agreement. Lastly, an update on the progress of our manufacturing facility in Malaysia. The build-out is on track to ramp up production in fiscal 2026. The modest increase in capacity that the Malaysian facility could hold once finished, which will go to 80 production lines from the current six lines, is a material improvement and aligns with our focus on Malaysia as a production center. We look forward to providing more updates on this in the coming quarters as well. To sum up, we are excited about the innovations that our team is working on, and we are optimistic about upcoming developments over the coming quarters. Our focus on fiscal management and pivoting to quality nicotine sector customers is delivering results with improved net loss, operating expenses, and accounts receivable. We expect these trends to continue through fiscal 2026, as well as a pickup in revenue generation as we move closer to profitability. I will now hand the call over to our Chief Financial Officer, Jie Yu, to review our second quarter financial results in more detail.
Jie Yu: Thank you, Michael. And thanks to everyone with us on the call today. As we discuss Ispire Technology Inc.'s key financial results for the 2026. To recap, I will refer to the 2026 as the quarter ended on 12/31/2025. All comparisons are to the prior 2025 ended 12/31/2024, unless stated otherwise. For the 2026, Ispire Technology Inc. reported a total revenue of $20.3 million, a decrease from $41.8 million in the 2025. As Michael has discussed, this was largely due to our strategic realignment of the business away from lower value cannabis customers to high-quality nicotine customers with better payment profiles. Gross profit for the 2026 was $3.5 million, declining from $7.7 million in the 2025. Gross margins decreased to 17.1% in Q2 2026, down slightly from 18.5% in the 2025. The decrease in gross margin was primarily due to changes in product mix with fewer higher margin products being sold during the three months ended 12/31/2025. As Michael has spoken to in recent quarters, we have continued to improve our accounts receivable balance by focusing on quality customers in the nicotine sector, which has allowed us to collect account receivables in a timely manner. As of 12/31/2025, our net account receivable balance was $37.9 million, down from $47 million at 06/30/2025. In addition, we were able to reduce operating expenses for this three-month period to 12/31/2025 to $10.3 million from the $15.1 million in the 2025. For Q2 2026, we also reduced net loss to $6.6 million compared to $8 million for the same period in fiscal 2025. On top of these results, from April 2025 through the end of calendar 2025, we burned only $1 million in operating cash, which showed that we remain focused on expense management and reducing costs across our business. We expect this trend of declining costs and improved account receivable to continue through fiscal 2026. Moving on to the balance sheet, as of 12/31/2025, Ispire Technology Inc. held cash of $17.6 million versus $24.4 million at 06/30/2025. Net cash flow used in operating activity was $5.2 million over the six-month period to December '85, versus $400,000 provided by in the six months to 12/31/2024. Net cash used in investing activity for the first half of fiscal 2026 was $900,000, compared to $1.1 million used in investing activity for the same period last year. Net cash used in financing activities for the six months to December '95 was $0.7 million relative to nonuse over the same period ending in 12/31/2024. That ends the detailed recap of Ispire Technology Inc.'s financial results for the 2026. I will now hand the call back to Michael for closing comments.
Michael Wang: Thank you, Jie. In closing, the 2026 marks an inflection point for Ispire Technology Inc. as our year-long cost-cutting and customer quality rationalization efforts are taking hold, and we believe future quarters will see top-line growth, consistent cash flow, and bottom-line improvement. Furthermore, we have several exciting and game-changing opportunities that we continue to make significant progress on, which include our iTech venture, Gmesh technology, and the Malaysian facility build-up. We have continued to strengthen our company's financial footprint by improving cash flow, as well as cutting operating expenses, reducing our account receivable, and the net loss. Our focus on higher quality customers in the nicotine sector is also delivering improvement in these areas, and we expect this to continue through fiscal 2026. With the progress we have made over the past year, and our industry-changing technology and the infrastructure we continue to build up, the future is extremely bright for Ispire Technology Inc., and we look forward to sharing our Q3 results on our next quarterly call. Thank you all again to everyone joining us today. Investors can always email IR@iSpiretechnology.com with any questions. This concludes our prepared remarks. And I will now ask the operator to open the lines for questions.
Operator: Thank you. If you'd like to ask a question, please press 1 on your telephone keypad. You may press 2 if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. We ask that you each keep to one question and one follow-up. Thank you. Our first question comes from the line of Nick Anderson with Roth Capital Partners. Please proceed with your question.
Nick Anderson: Yeah. Good morning, and thanks for taking the question. First one for me, just on US Retail. Walgreens announced the resumption of selling vape products in January. Just curious what you've seen or heard from retailers regarding the category and what that might mean for shelf space allocation moving forward. Assuming as we get regulatory clarity around flavor products, legal retail adoption would closely follow. But just want to hear your thoughts. Thank you.
Michael Wang: Thank you. The Walgreens situation is not an isolated case. Through our conversations with representatives of the retail space, there is tremendous demand, number one, for e-cigarettes, and number two, for flavored, especially. Convenience stores, like 7-Eleven or Circle K, a gas station network, those are typical retailers who really are desperate for flavored e-cigarettes. As we all know, even though cigarettes and e-cigarettes do not occupy that much shelf space in those retail stores, they represent tremendous revenue and foot traffic to the stores. So, they have seen significant reduction in their retail traffic just because they control our flavored e-cigarette side. As far as the FDA is concerned, because large chains are not going to risk any compliance issues by selling unauthorized products, consequently, they are losing business. I strongly believe, and some players in the industry strongly believe, there is a tremendous potential for retailers such as Walgreens to get into this game, especially as the enforcement efforts from the US Customs and the FDA are intensifying, and consumers still need flavored e-cigarettes. So when flavored products indeed get authorized by the FDA, I think the dam will get wide open. So on the other hand, enforcement and solution will have to go hand in hand. If there is not a solution that the FDA and the consumers can depend on, enforcement efforts will be very, very ineffective. Nick, I hope I answered your question.
Nick Anderson: Yeah. That's encouraging. Thank you for the color. Second one for me on iQTEC. Congrats on the Charlie's partnership, but just wondering if you could provide a little more color on the deal. What the expected production numbers are, regions you'll be focused on, and just whether or not this is driving more interest from other pipeline candidates as they look to integrate the age-gating process. Thank you.
Michael Wang: Yeah. Charlie's deal is certainly a groundbreaking deal for us and for Charlie's. Charlie's has always positioned themselves as a consumer safety-oriented brand, and they have done a lot in that area. So certainly, I think many people, because Charlie's is a publicly traded company, many people are aware of their situation. So from that point of view, they are launching a brand new product. Initial volume, of course, this is based on customer's feedback and assessment, that would be somewhere between 2 million chips a month and 3 million chips a month, with the goal of selling up to 10 million devices, therefore, chips, on a monthly basis over a twelve-month period. But, of course, that's based on customers' feedback. With a few months of experience behind, I think we'll all have more confidence in indication with exactly where that's trended. This is slated by Charlie's to launch in the next two to three months. So we don't expect to see a lift in terms of volume for iQTEC in the immediate quarter, this current quarter, but we should start seeing results in the next quarter. As far as your second half of the question, yes. Indeed. In the last year, we have talked to the MSOs and the large brands in the cannabis space. Every single company showed interest in introducing age-gated products on the regulated cannabis side. And they all have shared the same concern about the devices getting in the hands of youth. So, they have been embracing this technology and solution. We are in rather deep conversation with a couple of players there. For the time being, even though there is immediate revenue potential there, we have spent most of our energy on the nicotine sector because of the potential volume available.
Nick Anderson: I appreciate that color. If I could squeeze just one more in on the Chinese imports, it looks like they've been curtailed in the 2025, but then significantly grew in the second half of the year. Do you have any color as to what drove that spike? And it looks like some states have implemented measures to combat this. Have any of these states seen any differences in illicit vape mix? Any color there would be helpful. Thank you.
Michael Wang: Yes. So the surge in export late last year was partially driven by the expected policy change in China toward the manufacturing of e-cigarettes. As most of you are aware, effective April 1 this year, the Chinese government will stop what they call the VAT refund initiative. Even though export is not for domestic consumption, generally speaking, the government shouldn't impose a VAT on such products for export purposes. However, the regulators there are saying effective April 1 this year, the 13% VAT tax would also apply to e-cigarette export. So that means the cost base and the selling price would both go up effective April 1. So I think that was one reason a lot of the manufacturers really tried to rush before this new deadline to get as much product to the international market as possible. I suspect the increase would continue into the current quarter. But, of course, I expect a bit of a slowdown when April 1 kicks in. But so far, the feedback and the data we have gathered is the US states' efforts and initiatives have barely put a dent in the illicit market. The general feedback is it's not affecting at all, even though enforcement activities took place across the country, with the seizure of products and arrest of players. But it has not put a dent in the illicit market on the demand side. So that's why an adequate solution like iQTEC's age-gating is so crucial to using the FDA's term to unlock this flavored market to protect consumers at the same time. So, Nick, that's my answer to your question.
Nick Anderson: Got it. I appreciate that color. Congrats on the quarter. I'll jump back in the queue.
Operator: Thank you. Our next question comes from the line of Pablo Zuanic with Zuanic and Associates. Please proceed with your question.
Pablo Zuanic: Thank you, and good morning, everyone. Look, just first, Michael, a bit of a housekeeping question. Can you remind us of what percent you own of the iQTEC joint venture? And if that business begins to take off, you know, how will you fund the expansion needed, the expansion capital? Is there a risk of dilution, or would you want to take full control of that business? You can just remind us of that. Thank you.
Michael Wang: Yeah. Pablo, thank you. Yeah. The joint venture was created almost two years ago. Actually, twenty-one months ago. And very rapidly, we got on this mission of developing age-gated technology using the IP of our other joint venture partner, a company called Verifi. So far, as you know, a few three things I want to highlight. Number one, in November 2024, we had a meeting with the FDA, and through that conversation, of course, with the suggestion and guidance of the FDA, we worked on the so-called component PMTA. And we did that work early last year. And we turned in the component PMTA in May. And of course, as you have heard recently, especially in early November, the acting director of the Center for Tobacco Products made an opening remark at the Food and Drug Law Institute's Institute Conference. That FDA clearly understood the consumers wanted demand flavored e-cigarettes. However, so far, there was no way of authorizing flavored market without some sort of safety mechanism. So, hence, the very concept of age-gating being the solution right now. So FDA, I think, is certainly embracing that. By all indication, they are going to review PMTAs, whether with the products or, in our case, the component or solution PMTA in short order. We strongly believe, with our technology advantage, we'll get a fair shake out of this review process. So we are really optimistic about the potential, especially as I indicated in the last year and more importantly in the last three months. Activities involving discussions about our technology have really intensified. So, to answer the second half of your question, right now, the joint venture is operating with the technical engineering IP and business development contributions from the three joint venture partners. And Ispire Technology Inc. is providing the financial funding for the day-to-day operation there. With the Charlie's development and potentially a few other key, significant developments materializing in the coming months, Pablo, I strongly believe on one hand, we'll get strong interest from investors overall. On the other hand, we will be at a point where we could use some additional working capital to really blow this thing up on a global stage. As we all know, regulatory change requires a lot of efforts and resources. We are on a mission to fundamentally transform how age-gating can be used worldwide to protect consumers, both youth and adults, because of the dangerous nature of the illicit market. So Pablo, I hope I'm not answering your question.
Pablo Zuanic: Yes. No. That's good. Thank you very much. Just a quick follow-up. You know, assuming that the FDA were to legalize flavored nicotine because they are happy with the age-gating technology, there's not going to be just one technology out there. Right? Different manufacturers will have their own technologies. You will have yours, and you will supply it to small, midsize, maybe large manufacturers. I'm just trying to understand. Will there be different technologies out there or will, for example, the US only have one technology that will be only allowed? Do we know?
Michael Wang: Based on what we know, there are other solutions out there. However, as far as we know, no solution is as what we call frictionless. Of course, our solution is not 100% frictionless. But in comparison to what other people are developing, we have the least friction in our experience with the consumers using the technology or the product. So that we have strong confidence here. And the other key advantages, Pablo, include because we are using blockchain technology, we don't actually transmit detailed consumer personal information through the Internet. Instead, we are just sending tokens back and forth between us and the back-end identity verification providers, such as CLEAR or ID.me or Encode and so on. So because the communication is through tokens only, there is no chance that a consumer's information would be stolen by hackers. So that's another key advantage. As far as we know, all other solutions actually transmit consumer private information. So we all know, no matter how well protected the network, the system, are, there is always a risk to be hacked and to get the information stolen. So that's another advantage. Third one, based on what we know of other products out there, for example, the initial identity verification process for all solutions, it would take just over one minute. And for other solutions, it would take anywhere between five and twelve minutes. So we all know consumers cannot bear that. So, that's why all the brands are mindful of the impact this age-gating solution would have on consumer ease of use side. So from that point of view, we know we stand out. This is partially, Pablo, because our technology transmits only tokens, and it's low bandwidth requirement and so on. And plus, the whole process is simpler than what other solutions would require. For example, some solutions would even require the consumer to type in their Social Security number online to get verification. That's just, let's call it, unscalable. Not too many consumers would give up their Social Security number for that. So I hope I answered the question. Of course, there are other solutions out there.
Pablo Zuanic: No. Good color. Thank you for that. And I know it's a lot of detail there, but just to know that, going back to your prepared remarks, I think you said that some countries in Europe or the Middle East or Asia have already mandated age-gating technology. I mean, I want to make sure I hear that right. And, if you can say which countries specifically, and are they using your technology already? Or were you talking more in general about future plans in those countries? I'm just trying to understand if anyone has actually implemented this anywhere in the world right now.
Michael Wang: No one has implemented it. That statement says we have been working with those regulators in those countries to push for a mandate. And the reception has been very positive because similar to the US, in addition to consumer safety and protecting youth from using e-cigarettes, there is another consideration. Same is true in the US. The illicit market generally does not pay their share of sales tax. So that's made sales tax or excise tax because that's where the government gets their share of the trade. So the illicit market generally avoids paying a lot of tax. So some of those countries basically are saying not only do we want to protect, say, adults in using safe devices, not only do we want to prevent youth from using the devices, we also want to collect sales tax, our revenue, tax revenue. So with these three objectives in mind, many countries are looking at our technology. Some are even contemplating mandating all e-cigarettes sold in their countries must have age-gating. So right now, I can't share under NDA. I can't, I guess, share their name with everybody. But two countries in Southeast Asia, actually, one country in serious conversation in the Middle East, second one, a war-torn zone. And in Europe, we have been working with the UK regulator lawmakers for just nearly a year in changing the requirement, especially, we try to make a difference towards the upcoming UK tobacco bill, which is likely to be formed up in the next two to three months. But the support in the UK for this technology has increased tremendously over the ten-month period. And both from the parliament and the house floor and the executive branch, we are receiving support from every branch. So the best indication for where this technology is going. Certainly, the FDA is the most important consideration for us now. But we know through our talks with regulators outside the US, there is increased interest in this technology outside the US as well. So we are trying to work. In some countries, as we know, regulations and laws could be established in short order, unlike, let's say, heavily democratic countries like the UK and the US. Right. So we hope we would actually be able to launch the technology in other countries, potentially even ahead of the US.
Pablo Zuanic: Right. Thank you very much. Very last one. And just a short answer. I think you, I know you're gonna make forward comments, but you talked about that you will be disclosing a new deal in the coming weeks. Is this something similar to a Charlie's partnership, or are we talking about something much larger? Can you just give some general context? And I realize that we cannot forward comments here. Thank you. That's all.
Michael Wang: Let's say much greater strategic and financial impact.
Pablo Zuanic: Right. Thank you very much. That's all. Thank you.
Michael Wang: Thank you, Pablo.
Operator: Ladies and gentlemen, that concludes our question and answer session. I'll turn the floor back to Michael Wang for any final comments.
Michael Wang: Thank you all again. We really, as I said a couple of times in my prepared remarks, we saw Q2 as an inflection point for us, not only financially but strategically as well. So I hope to have more advanced, exciting developments to share with you all in the coming weeks and months as they come about. Thanks again. Operator.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.